Operator: Thank you for standing by. This is the conference operator. Welcome to the Origin Materials' Fourth Quarter and Full Year 2023 Earnings Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] At this time, for opening remarks and introductions, I would like to turn the call over to Matt Plavan, CFO. Please go ahead, sir. Speaking first today is Origin's co-CEO, Rich Riley. He will be followed by co-CEO and co-founder, John Bissell and myself. After that, we will open the call to questions from analysts and discuss questions submitted as part of our Ask Origin campaign. Ahead of this call, Origin has issued its 2023 fourth quarter and full year press release and presentation, which we will refer to today. These can be found on the investor relations section of our website at originmaterials.com Please note on this call, we will be making forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect our views as of today, should not be relied upon as representative about views of any subsequent date, and we undertake no obligation to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For further discussion on the material risks and other important factors that could affect our financial results, please refer to our filings with the SEC including our Quarterly Report on Form 10-Q filed on Monday, March 4, 2023. During today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Origin Materials' performance. These non-GAAP measures should be considered in addition to, and not as a substitute for, or in isolation from GAAP results. You will find additional disclosures regarding the non-GAAP financial measures discussed on today's call in our press release issued this afternoon and our filings with the SEC, each of which is posted on our website. The webcast of this call will also be available on the Investor Relations section of our company website. With that, I will turn the call over to Rich.
Rich Riley: With that, I will turn the call over to Rich. Thank you, Matt. Good afternoon, everyone, and thank you for joining us. For Origin, 2023 was a watershed year, which included the commencement of production at Origin I, a key milestone in improving the scalability of our biomass conversion technology. Furthermore, we made great progress on initiatives that significantly de-risked the business on the path to profitability. Indeed, today we are pleased to announce that, owing to the strong momentum of these initiatives, we now have a path to profitability entirely independent of the scale-up of our biomass conversion technology and related manufacturing plant construction. These initiatives are led by our All-PET Caps and Closures business, a highly differentiated solution for the over $65 billion caps and closures market.Expected revenue from these initiatives, coupled with our cost reduction program, extend our cash runway and eliminate the need for an equity capital raise to achieve sustained profitability. Origin ended the fourth quarter with just over $158 million in cash and cash equivalents and marketable securities. Having prioritized revenue-generating projects with the greatest contribution to near-term cash and seizing opportunities to defer research expenses or other programs targeting longer-term results, our expected 2024 net cash burn is between $55 million and $65 million, with meaningful gross profit generation anticipated to begin in 2025. This is primarily due to the strong commercialization progress of Origin's Caps and Closures business, which could begin to generate revenue within the next 12 months. With an expected 2024 cash burn of less than $65 million and our expectations for significant gross profit generation beginning in 2025 with a healthy growth trajectory thereafter, we forecast maintaining a solid minimum cash floor on our way to sustained profitability, and hence the expectation that we will not require additional equity capital. We anticipate our all-PET Caps and Closures business to be transformative for packaging. We announced this initiative in August 2023 after quietly developing the program for several years as a natural outgrowth of Origin's polymer expertise and platform development efforts. This is squarely on mission for Origin as we are transitioning a hard-to-recycle material into an easy-to-recycle one, in support of the global transition to sustainable materials. We are positioned to be first to market with a commercially scalable PET Cap, something the industry has long sought but never achieved. Origin's PET Caps and Closures are expected to be cost-competitively produced with any type of PET, making made-with-100% recycled PET possible, from cap to container. They perform better than today's HDPE and polypropylene caps in ways that can improve product shelf life, and they are designed for circularity. For a wide variety of containers, our technology enables the lightest cap, reducing plastic waste, and improving sustainability. This business continues to make excellent commercialization progress. We successfully completed our third manufacturing development run on production-scale equipment, producing thousands of caps per hour. Our initial product passed third-party tests, validating that performance meets or exceeds industry standards, and we have conducted preliminary consumer testing. Our partners have conducted extensive diligence and demonstrated strong organizational alignment across procurement, R&D, marketing, and sustainability to move forward with Origin's solution. And we are now at the letter-of-intent phase with multiple leading CPG companies that collectively consume tens of billions of caps per year. There are other technologies with near-term revenue-generating potential and development at Origin. Like our all-PET caps and closures, these new applications enabled by Origin technologies are not dependent on Origin 1 or Origin 2 for production and sale, but capable of using materials produced from these plants. These applications leverage Origin's chemical expertise, depth of application knowledge, and intellectual property strength, with further details to be provided as development progresses. Regarding Origin 2, we are launching an asset-light strategy for core technology scale-up. Beyond Origin 1, we intend to scale our biomass conversion technology in partnership with other major companies. With potential strategic partners to provide a substantial portion of construction capital, Origin's costs are expected to be reduced significantly, enhancing our optionality with respect to the ways we can deploy our technology. Customer demand remains strong, as reflected by our total off-take agreements and capacity reservations in excess of $10 billion. With that, I'll turn it over to John.
John Bissell: Thank you, Rich, and good afternoon, everyone. I'll begin by building on Rich's commentary regarding Origin 2 and our asset-light strategy. Notwithstanding the industry-wide capital construction project setbacks experienced over the past few years due to inflation, higher interest rates, and supply chain shocks, the demand for our biomass conversion technology remains strong. As such, I am particularly proud of our team's innovation agility in accelerating caps and closures to become our primary path to profitability, which allows us greater flexibility to implement our asset-light strategy. Accelerating the lower-capital-intensity caps and closures business is a natural prioritization given the continued escalation of capital project costs, as reflected in our revised front-end engineering design for the first phase of Origin 2, which we received during Q4 2023, as well as our expectation that industry-wide large capital project execution costs will continue to be inflated for some time. Thus, to best deliver on the demand for our technology in the midst of these industry-wide headwinds, we intend to commercialize and scale our biomass conversion technology in partnership with other major companies, with potential strategic partners to provide a substantial portion of the capital for construction. Doing so is expected to optimize scale-up synergies, significantly reduce project execution risk, and significantly defray costs that would otherwise be borne exclusively by Origin. Timelines, economic forecasts, and plant phasing with respect to separating oils and extractives for biofuel production will depend on the partner and the deal structure, which can explore a range of scenarios and locations, including Geismar, Louisiana, as well as Asia, brownfield scenarios, with updates to be provided as we finalize those partnerships. Regarding the scale-up of our biomass conversion technology, we continue to engage with multiple parties to explore a variety of plant designs and evaluate potential brownfield sites. We continue to perform funded joint development work with our strategic partners, including testing and optimizing various feedstocks to generate information that could influence our scale-up strategy. Regarding progress at Origin 1, we are pleased to report it is demonstrating Origin's biomass conversion technology as expected. The plant, located in Sarnia, Ontario, Canada, is first and foremost an asset that is used to support Origin market development, including customer materials testing and formulation in preparation for Origin 2 scale-up. While continuing to be highly focused on safety and training, we are running the plant at appropriate rates to learn as much as we can and support a further tech scale-up. As we run batches, we continue to prove out, at scale, the various unit operations, such as pumps, reactors, filters, heat exchangers, and utility systems, gathering information from these activities that will inform future technology designs. During this early stage of plant operations, we are using cornstarch for our feedstock to produce CMF and HTC. This allows us to focus on chemistry and unit ops, which is standard industry practice when enabling new technology processes. We expect to introduce wood handling in the months ahead. Strategic partners associated with Origin 1 supply chain remain engaged as we collaborate in market development activities. Lastly, our Board of Directors continues to evolve. Karen Richardson has served as Chairman of the Board for three years and, as her term concludes, we thank her for her exemplary service. Karen supported the company as we have advanced our technology platform, started up Origin 1, built a world-class Board of Industry Experts, and enhanced senior leadership with the recruitment of Matt Plavin at CFO. Today, we announce Karen Richardson's retirement from the Board, effective March 1. Concurrently, Tony Trippany, our current Audit Committee Chair, who has served on the Board since May 1, 2023, will succeed Karen as Chairman of the Board. We are incredibly fortunate to have Tony, who brings over three decades of significant operational, strategy, and M&A experience to the Chair position, extensive knowledge of the manufacturing, technology, and materials science industries, and a background in international corporate finance. During his 36-year career with Corning, a global leading innovator in materials science with more than $10 billion in annual revenue, Tony held various progressive leadership roles in corporate accounting and finance, including Chief Financial Officer. In addition, John Hickox has been appointed to the Board and will serve as our Audit Committee Chair, succeeding Tony, and as a member of the Nominating and Corporate Governance Committee. John has been on the cutting edge of advising mid-range to Fortune 10 companies on economically responsible sustainability, including having spearheaded the KPMG America Sustainability Practice. His distinguished career spans 40 years in auditing, accounting, FP&A, corporate governance, and executive leadership. He was an advisory partner at both KPMG and Ernst & Young, servicing a range of public clients, including chemical and packaging industry clients, in the areas of SOX, regulatory compliance, internal audit, and risk management, and sustainability, focusing on impactful corporate stewardship, strategy, reporting, and profit maximization. Welcome, John. And finally, we would like to again thank Karen for her outstanding leadership during her term these past three years. We look forward to a seamless transition to Tony, who has proved himself a strong successor for the Chairman role. With that, I'll turn it over to Matt.
Matt Plavan: Thanks, John. We've provided the quarter and full year results in the tables of the earnings release, so I will focus my comments on a couple of key financial highlights. 2023 was Origin's first year of revenue generation since becoming a public company, with revenue of $13.1 million and $28.8 million for the fourth quarter and full year, respectively. This is primarily comprised of what we refer to as supply chain activation revenue, generated in conjunction with the initiation and initial scale-up of Origin One operations. Looking ahead, we expect the onset of revenue from our caps and closures initiative, just highlighted by Rich and John, could be within 12 months. We anticipate this revenue will be significant, recurring in nature, and with a margin growth profile that will drive us to overall cash-positive operations within the means of our existing cash resources, eliminating a need for an equity capital raise on our way to sustained profitability. Our confidence in this revenue outlook is predicated on a risk-adjusted aggregation of demand projections provided to us by prospective customers with whom we are in contract negotiations for our PET caps. Their individual demand estimates reflect gradual adoption rates within their existing production volumes, risk-adjusted for potential delays. Our confidence in a significantly reduced expense forecast for 2024 is due primarily to the impact of our asset-light strategy on how we will finance our forward capital project costs. During 2023, we incurred just over $100 million in property, plant, and equipment costs in service of our biomass conversion technology development. With these costs now expected to be contained within our potential strategic partnership arrangements, coupled with the roll-forward impact of our previously announced cost reductions made in Q4 of 2023, we are well positioned to execute our 2024 plan at less than a $65 million net cash burn. Turning now to our operating expenses, for the fourth quarter, they were $19.8 million compared to $13 million in the prior year period, an increase of $6.8 million. The increase was driven primarily by increases in manufacturing costs of $2 million, increased depreciation costs of $2 million due to Origin One coming online during the quarter, and increases in R&D costs of $1 million. For the full year of 2023, operating expenses were $60.1 million compared to $38.9 million in the prior year period, an increase of $21.2 million driven by cost increases proportionally consistent with those in the fourth quarter. With that, I'd like to reiterate our financial guidance for 2024, including revenue of $25 million to $35 million and net cash burns between $55 million and $65 million, with significant gross profit generation anticipated to begin in 2025. In closing, as you might imagine, with our existing cash on hand and good visibility into a path to sustained profitability without the need to raise additional equity capital, we believe the company is exceptionally undervalued at its current stock price. Moreover, we believe the execution of our plan in 2024 will be well received by investors, and as such, we expect Origin will satisfy the NASDAQ minimum bid price rule within the requisite price period. Now I'd like to open the call for questions. Operator, may we have the first question, please?
Operator: We will now begin the question-and-answer session. [Operator instructions] The first question comes from Frank Mitsch of Firmium Research. Please go ahead.
Frank Mitsch: Good afternoon, folks. I wanted to come back to the use of wood, introducing waste wood and wood chips into Origin One. John, you indicated that that's going to happen over the next few months or several months. I forget exactly what you said. But the way I was thinking about it, the $10 billion-plus that you have in capacity reservations and off-take agreements, I presume, is tied to the use of wood and waste wood as the feedstock and not cornstarch. I'm just curious as to why we might not have seen an acceleration to try and introduce wood and have the Origin One facility running on what's obviously a much cheaper feedstock? Any color around that would be very helpful.
John Bissell: Sure. Hey, Frank. It's a really good question. Actually, a lot of our customer arrangements -- I wouldn't say most, but a lot of our customer arrangements actually are pretty agnostic to the feedstock that's being used for them to make the product. That's because – I'd say it particularly corresponds to applications where we're providing a performance-advantaged product. When we talk about perazolin and PET, really the dominant value proposition is sustainability and, of course, changing how the supply chain is organized since you don't need to use petrochemicals or oil to produce it. But when you look at products that can't really be made outside of our platform -- these are things like furan-derived products or FDCA, HTC-derived products that are unique -- we're often using a value proposition that is not just sustainability but also just flat-out performance. The products that we're making are performing better than what they have in that same application. And while cornstarch really doesn't provide the same sustainability benefits that you get for wood, it is still sustainable. And, of course, the buy decision for customers like that is driven by the performance of the end product. CMF is CMF, whether it's coming from wood, starch, or something else. And so we actually do have a lot of customers and a lot of applications which don't really care so much about what the feedstock is on the front end.
Frank Mitsch: Okay. That's very helpful. But the intent is certainly by the early July timeframe that the NASDAQ has threatened for delisting. The intent is before then you will have introduced and demonstrated the use of wood and waste wood in Origin One?
John Bissell: Yes. The intent is for us to demonstrate that not so far out.
Frank Mitsch: Okay, great. And then I guess just lastly, with respect to Origin Two and the Asian brownfield sites, which is kind of an interesting aside. So obviously you've got something cooking there. I'm wondering if you could elaborate on that. But your expectation in terms of the partnerships that you want to form, would we also expect to see something announced before midyear in that regard as well?
Rich Riley: Hey, Frank. It's Rich. It's hard to give timing guidance, but I can share that we have multiple potential partners who are deeply engaged exploring a wide range of plant build scenarios, including Asian Brownfield. As we mentioned in the remarks, these partners bring a variety of -- some of them are long, particular forms of feedstock that's very attractive or have brownfield sites that are attractive, capital projects expertise, capital generally. And so we're approaching these partnerships with very open minds and thinking of ourselves as really the technology provider. And we can also bring customers, obviously, with our massive order book. And so looking at these various opportunities of different types of companies wanting potentially different focuses in terms of the end materials that the plant would be geared towards. And so we're working those through. Hard to give guidance on timing, but continuing to make progress.
Operator: Thank you. [Operator instructions] The next question comes from Eric Stine of Craig Hallam. Please go ahead.
Eric Stine: Hey, everyone. So maybe we could just start off with a guide. I'm just trying to get a handle on that. So revenues, $25 million to $35 million. You just came off $29 million. And certainly on a run rate in Q4 that would exceed that. I mean, is this because you are done with, as you termed it, supply chain activation activities and it's more of a, I don't know, the production is more tempered based on customer needs, what they want to test, et cetera? Or maybe I'll just start there, how to think about that revenue level and why in '23 or '24, sorry.
Matt Plavan: Yeah, this is Matt. I think certainly we expect supply chain revenues to recur in 2024. And as we said in our prepared comments, within 12 months we do expect the caps and closures revenues to set in. And so for '24, I think that's kind of the general guidance you should rely on. And as we talked about, '25 is where we really expect to see caps and closures revenues ramping. So, yeah, I think you picked up on the guidance pretty well.
Rich Riley: Eric, this is Rich. I'll just add that our commercial focus is really what we expect to be substantial 2025 revenues from the caps and closures business. And so that's the priority for our commercial efforts. Not as focused as we were on joint development agreements or supply chain activation partnerships.
Eric Stine: Got it. And then just trying to get a handle on it squared up with the reduced cash burn, which is obviously good to see. I mean, you just came off a quarter of the total OPEX of almost $20 million. Clearly that number got to come down if you're going to hit that reduced cash burn. What maybe kind of what level should we think about for OPEX here in '24 as you build towards '25?
Rich Riley: Yeah, so I think on the year we talked about $55 million to $65 million. I think it's fair to assume that to be relatively linear throughout the year. Not a lot of lumpiness in that. And, of course, as the caps and closures revenues built in '25, that margin substantially reduces and results in cash positive thereafter. So I think that's the way to think about OPEX in '24.
Eric Stine: Okay. Well, I mean, at this level, should we take this to mean then that because you're no longer taking on the spend for plant activity with origin one complete, I mean, the CapEx is virtually zero, in 2024, or at least your portion of it. I'm just trying to square the two because that revenue at this level just doesn't, it doesn't work?
Rich Riley: Yeah, I think we think about bifurcating spend between the caps and closures initiative and the asset life initiative, which, as Richard mentioned, is really something we're working through with our partners. So we don't see significant CapEx capital project spend in 2024 coming out of our capital on the balance sheet at the moment.
John Bissell: Okay. I guess maybe I'll take Eric. What might help square for you a little bit is. So when we look at capital that's required for the caps and closures business, it's much more modest by sizes. And we see those as Matt has said, I think it has prepared remarks. We see those as very financeable. And so even though there is certainly capital outlay that goes towards the caps and closures business, it's not the net cash burn as a result of that capital outlay is not particularly large relative to the rest of the spend of the company.
Eric Stine: Okay. All right. Now that helps. That makes sense. Maybe just turn into caps and closures. I mean, obviously an attractive path to go down. But and I know you're optimistic, but 12, at least 12 months away, I mean, maybe just talk about what are the steps that we need to see between now and say this time next year. And I'd love some details. Like, I mean, for instance, are you are you using a tolling arrangement and where would these be produced? Maybe that's still to be determined?
Rich Riley: Yeah, that's a great question. So the way to think about the caps and closures business specifically is much if you have sort of a chemicals hat on or something along those lines this is much smaller operations than you would typically see for a chemicals plant. And so scale that down. But the idea of a plant is still valid. Right. They're just they're just small and they're different kinds of technology. Right. This is this is mechanical plastic part production technology rather than a big industrial process plant. And so these units are procured from existing sort of complex mechanical equipment manufacturers. They require adjustments to the existing equipment, but largely it is still produced by them. So it's really equipment purchase and installation rather than lots of tanks and pipes and things like that. Right. So it's sort of a different risk profile associated with those. It also, because of that structure, has a different delivery and sort of time to production profile. So really the independent components that we're talking about in these systems can actually have lead times as short as six to nine months. You know, we we've been giving ourselves a little bit longer than that because we want to make sure that we have time to integrate them and bring them online. But you're really talking about you said 12 months. I think that's pretty reasonable for a given system. But this is not a one big system and then you sort of fill it out kind of business. This is a business where we're going to be bringing online systems as we go along. And and they won't be separated by that much time, most likely. So we can satisfy demand much more incrementally rather than just sort of one big step change. So some of the things I give that color because I think it helps make sense of some of Matt's comments around us getting to profitability in '25. That's not us all just waiting around saying, OK, well, when's that system going to come online and then boom we get to profitability or gross margin, actually, gross margin, I should say. But the instead, we're going to see pieces all the way along individual systems coming online satisfying demand for different customers as we go. So I think that's going to provide lots of opportunity for milestones and to see sort of real progress and meaningful amount of time. I think the other things to think about are one, we've done third party testing and manufacturing with these systems, with the suppliers of the systems. And we've made as we said in our both our prepared remarks and then I think also in the release a lot of these parts for validation. We've been working closely with customers to put them into their systems. We're very excited about that. I think we will continue to see progress in terms of efficiency. We're pretty happy with where we are on efficiency right now, and we think that we have actually a pretty good path forward. So those will be things that we can talk about. But again, I think this is characteristically a much more quickly moving technology than you see for the sort of large capital project driven businesses in the chemical industry.
Eric Stine: Okay. So just to be clear, though, you these are so these would be origin facilities. They would just be it's not a plant. They're much smaller. Or is this something where it'd be your tooling at a supplier location and they're making it on your behalf?
Rich Riley: Yes, it's a great question. I'm glad you re-asked it, since I didn't answer it the first time. So I think it's going to be a combination. I think there are going to be places where it makes sense for us to have origin operated facilities, and they're going to be places where it makes sense for us to take our equipment and our capital and put it into another facility that's operating. But I think that the balance between those two is going to be driven by the economic opportunity that exists inside of some other party's facilities. I don't think that we want to make ourselves entirely beholden to any third party manufacturing organization. But there are clearly places where we can have one of our systems operating inside of a larger manufacturing context and take advantage of opportunities that they would have. And it's sort of a win-win for both parties on either side. So we'll do that when we can. And then I think origin operated and owned facilities as well, separately.
Operator: That concludes today's live Q&A segment. I will now turn it over to Matt Plavan, CFO, to conduct the next segment of our investor Q&A.
Matt Plavan: Thank you, operator. Prior to our earnings call, we invited investors to submit questions as part of our Ask Origin campaign. Thank you to everyone who participated. We're grateful for the significant volume of questions submitted and really encouraged by the thoughtful and engaging nature of your questions. As you might expect, we tailored our prepared remarks to address many of those questions as practically as we could, which ended up being a majority of your questions. It's also worth noting there were some good technical and commercial questions we'd really enjoy getting into, but for either proprietary or competitive reasons, we've got to refrain from answering those. However, there are a few that fall outside of those two categories, and we'd like to quickly cover those.
Matt Plavan: So our first question for John is about 1,4-Dioxane. Is the use of 1,4-Dioxane highly likely, likely, or unlikely to be used anywhere along the chain to produce PEF from CMS?
John Bissell: Yeah, so this was an interesting question in part because it is an example of where people are diving into sort of technical detail on things that is surprising, but at least for me, kind of gratifying. I enjoy it when people look into this kind of stuff. So I think the providence of this question is likely from one of our patents, specifically one of our patents around the production of paraxylene from dimethylpurine and our Diels-Alder chemistry to do that. And I think the interesting thing to understand about this is first, when you're developing technical systems like this, you typically are going to start with either a model system or a system that really clearly elucidates the properties that you're looking for. And then, of course, once you hit on something that you like, you end up writing a patent around it or whatever you're going to do. And then you include the work that you've done, which includes this model system or model compound. And so it's quite common, in fact, to have chemical species in the patent that are maybe not exactly what's going to be used commercially. So I think keep that in mind as you look at these patents that we write, and frankly patents in general. Now, that all said, so I think it's interesting to ask about the one-part dioxane. That's sort of the relevant information on it. But the question actually was around the pathway from CMF to PEF. Now, what's interesting about PEF is that it's made out of FDCA or purine dicarboxylic acid as a replacement for terephthalic acid. The terephthalic acid, of course, would have been made from the paryzaline that we produce from dimethyl purine using the Diels-Alder chemistry that I just referenced. So what's interesting about the question about PEF is that, of course, we don't use our Diels-Alder chemistry on the way to make FDCA or PEF. So while I think the provenance of the question is interesting and certainly relevant, it actually turns out not to be relevant for the production of FDCA and PEF, despite some of the comments that I made around sort of model systems earlier. So an interesting question. The answer is, I think, very unlikely that we're going to use dioxane anywhere in the system, specifically going from CMF to PEF.
Matt Plavan: Okay. Thank you. The second question is about the TRL or technical readiness level of Origins Biomass Convergence Technology. Has the technology been proven to work in its final form and under expected conditions? Have there been demonstrations of actual system prototypes in relevant environments? And how far along is the technology in terms of TRL?
John Bissell: Yes. That's another great question and something we think about a lot internally is sort of assessing things via their technology readiness level. And by the way, the TRL system was developed originally, I think, by NASA early on to assess sort of how far along were each of the mechanical subsystems that were going to be required to put people in orbit and get rockets up into space and then ultimately land people on the moon and get them back. And so it's a great system that was very rigorously put together. What I think is particularly interesting for the chemical process industry, which is where we live, is that you have to look at a chemical process oriented technology readiness definition set, which is out there. You can Google it and find a PDF of it. And it's subtly different than the one that you typically see for mechanical systems. But it makes it a little bit easier to set up the relationships. Now, that all said, we have done a lot of system and subsystem development through the years. So that's really what's happening when we're doing bench scale work, integrated bench scale reactions, scaling it up to pilot. You could set TRL numbers associated with each of those steps as you go forward. And then, of course, with Origin-1, Origin-1 is essentially by the TRL system a full scale operating plant. And so once something is operating in Origin-1, then it's sort of off the top end of the TRL scale. I think it's technically TRL-9, which is fully commercial. So that's sort of the, from a technology risk perspective, that's the way to think about that. Now, of course, we always have additional technologies that we're working on. We have improvements to technologies, even technologies that have been implemented at OM-1. We're working on things that can make those process steps better, more efficient. In some places, we're really excited about those, and we may be working on them, even though they're a little ways out. And so as you look through all of those improvement processes, you're going to see a smattering of different technology readiness levels, depending on when we started or how difficult it is, et cetera. But essentially, once something's operating at OM-1, that's sort of off the top end of the technology readiness scale.
Matt Plavan: Okay. Thanks, John. Now a question for Rich. This question's about the share price. Can you provide some insight on organically addressing the share price to maintain Origin's NASDAQ listing? It's top of mind for many retail investors.
Rich Riley: Yeah, it's a good question. Here's how I think about that. First, we have a very strong plan to get to profitability without needing to raise additional equity capital, led by our breakthrough caps and closures product, which really highlights the innovation and capabilities that we have at the company, in addition to the intrinsic value of our core biomass conversion technology, which we now plan to scale via partnership. And so that plan is something we feel really good about. And to be clear, we believe that the stock is extremely undervalued at its current levels, and we're confident that as we continue to execute this plan, the results will be very well received by investors and that the stock price will reflect that reception and those results. And so we really think this is going to be a very exciting year for Origin and are highly confident that we will continue to be listed on the NASDAQ.
Matt Plavan: All right. Thanks, Rich. Thank you, everyone who joined. We're looking ahead with confidence and excitement for 2024, and we look forward to our next update. This concludes our call for the day. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.